Operator: Greetings, and welcome to the Q2 2025 Teradyne, Inc. Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Traci Tsuchiguchi. Please go ahead.
Traci T. Tsuchiguchi: Thank you, operator. Good morning, everyone, and welcome to our discussion of Teradyne's most recent financial results. I'm joined this morning by our CEO, Greg Smith; and our CFO, Sanjay Mehta. Following our opening remarks, we'll provide details on our performance for the second quarter of 2025 and our outlook for the third quarter of 2025. The press release containing our second quarter results was issued last evening. The slides as well as a copy of this earnings script are on the Investor page of the Teradyne website. Replays of this call will be available via the same page after the call ends. The matters that we discuss today will include forward-looking statements that involve risks that could cause Teradyne's results to differ materially from management's current expectations. We caution listeners not to place undue reliance on any forward-looking statements included in this presentation. We encourage you to review the safe harbor statement contained in the slides accompanying this presentation as well as the risk factors described in our annual report on Form 10-K for the fiscal year ending December 31, 2024, on file with the SEC. Additionally, these forward-looking statements are made only as of today, and we do not undertake any obligation to update forward-looking statements to reflect subsequent events or circumstances, except to the extent required by law. During today's call, we will refer to non-GAAP financial measures. We have posted additional information concerning these non-GAAP financial measures, including reconciliation to the most directly comparable GAAP financial measures, where available on the Investor page of our website. Looking ahead, between now and our next earnings call, Teradyne expects to participate in technology or Industrial-focused Investor Conferences hosted by Evercore, KeyBanc, Citigroup and Goldman Sachs. Our quiet period will begin at the close of business on September 19, 2025. Following Greg and Sanjay's comments this morning, we'll open up the call for questions. This call is scheduled for 1 hour. Greg?
Gregory Stephen Smith: Thanks, Traci. Good morning, everyone, and thanks for joining us. Today, I'll discuss our second quarter results and provide an update on what we're seeing across our businesses. Sanjay will then provide more detail on our second quarter results and third quarter guidance. Through the second quarter, end market trends noted in prior quarters were generally consistent with a strengthening second half. Strength in AI compute is more than offsetting lower demand in auto and industrial end markets. Pockets of improvement in mobile are driven more by customer-specific dynamics than an uptick in the end market demand. Visibility is starting to improve. In terms of capacity utilization, we believe that we have turned the corner towards more new system sales rather than selling upgrades of existing idle mobile capacity for new compute and mobile applications. Demand is strengthening in AI compute, and we are seeing a broadening of opportunities where Teradyne and especially the UltraFLEXplus is getting strong consideration in areas where we have not historically had a seat at the table. While new program ramps and new test insertions can drive a lumpy order pattern, we are optimistic about the opportunities on our horizon. In the second half of 2025, we expect AI compute to be the dominant driver of our SOC business. The long-term themes we've discussed, AI, verticalization and electrification remain intact with AI and verticalization emerging as the primary growth drivers in the near term. Our Q2 results reflect the evolving composition of our business. In the past, the typical seasonality in our revenue was heavily driven by consumer mobile demand. This has now been superseded by the waves of demand driven by specific customer program ramps in AI compute. These have no correlation to consumer holiday buying patterns. In the second quarter, we delivered revenue, gross margins and earnings per share above the midpoint of our guidance ranges. Semi Test, specifically SOC for AI compute, drove results above our expectations. End demand trends in mobile persist, but we saw pockets of customer-specific strength in RF and mobile power in the quarter. In the industrial and automotive end markets, demand has stabilized at a low level. As expected in Q2, Memory revenue was lower quarter-on-quarter due to the timing of shipments and is expected to snap back in the second half. In the quarter, our Memory business unit secured an important HBM4 post-stack singulated die win. HBM suppliers are adding test coverage to improve device quality. Some suppliers are adding a test insertion for HBM singulated stacks. And while this new insertion is not yet pervasive across the broader industry, we believe that it is an important growth driver for the Memory TAM in the future. This win builds on momentum from the HBM4 post-stack wafer test win in Q1 for our Memory business unit. As we discussed in our Analyst Day, there are 4 elements to growth in our IST business: accelerated bit growth in HDD, share growth and recovery in the mobile SLT market, emerging SLT for AI accelerators and solid-state disk drives. In Q2, IST revenue more than doubled compared to the same period last year, mainly driven by HDD and mobile. All of the businesses within our product test group delivered second quarter results generally in line with our expectations and up year-on-year. In the quarter, we closed the acquisition of Quantifi Photonics, accelerating an important element of our strategy to gain share in AI compute by establishing a leadership position in silicon photonics test. In Robotics, recall that we executed a structural reorganization that consolidated the customer-facing sales, marketing and service organizations of UR and MiR in the first quarter of 2025. In Q2, this new organization delivered 9% quarter-on-quarter growth despite persistent difficult market conditions, and we continue to optimize our OpEx envelope to respond. In the second quarter, as part of our pivot to large customers, we secured a plan of record decision from a large customer. This is not expected to have a material impact on Robotics revenue in 2025, but is expected to be a significant growth driver later in 2026. In support of this opportunity and others, the team plans to open a manufacturing operation in the United States to best serve customers in this region. Moving on to Q3. As we progress through the third quarter, we are gaining confidence in AI compute-related revenue inflecting in the second half of the year, driven by both SOC and Memory. We are less certain of the quarterly timing of shipments between Q3 and Q4 and then between Q4 and Q1 due to customer schedules. That said, we expect the relative size of AI compute in our SOC and Memory business to represent the majority of our semi test revenue in the second half. Our expectations for mobile are modest in the third quarter and the second half generally, expecting that the bulk of the demand we'd see for the year has been satisfied in the first half. Growth in the mobile segment is coupled to the ramp of 2-nanometer gate-all-around and the expectation of more compelling AI applications in the generation of smartphones coming in the back half of 2026. In the auto and industrial end markets, our end customers remain cautious about significant capacity adds, but we do not expect test equipment order patterns to deteriorate further. There are areas within this end market that are showing strength like the power semiconductors for data center build-outs, and we believe that the long-term trend towards electrification will drive growth beyond 2025. Overall, we feel good about where we're headed in the third quarter and the second half of the year. We are significantly more confident than we were 90 days ago. Demand trends in AI compute have strengthened and forecasts are materializing into orders. Utilization rates have improved considerably, leading to an increase in UltraFLEXplus system orders. With the work that we have done to increase the resilience of our supply chain and dual source our manufacturing, we are in a position to effectively scale volume with increased demand and provide timely delivery of our testers to fast-moving customers. I want to emphasize that we are opening these new opportunities because of the scalability of our newest systems, our capabilities in silicon photonics, our parallelism and higher throughput that lowers the cost of test for our customers. And with that, I'll turn the call over to Sanjay.
Sanjay Mehta: Thank you, Greg. Good morning, everyone. Today, I'll cover the financial summary of Q2 and provide our Q3 outlook. Now to Q2. Second quarter sales were $652 million and non-GAAP EPS was $0.57, both above the midpoint of our guidance ranges. Non-GAAP gross margins were 57.3%, consistent with our guidance range. Non-GAAP operating expenses were $275 million, up year-over-year as we have increased our R&D investments and targeted opportunities to drive longer-term growth. OpEx came in flattish sequentially as we continue to practice disciplined spending controls. Non-GAAP operating profit was 15.1%. Turning to our revenue breakdown in Q2. Semi test revenue for the quarter was $492 million with SOC revenue contributing $397 million. Memory, $61 million; and IST, $34 million. Strength in SOC was driven by mobile upgrades. AI compute growth exceeded our plan. Expected Memory revenue was considerably lower sequentially and year-over-year due to the timing of customer deliveries, which is expected to be back half weighted this year. In the first half of this year, customers have been digesting the HBM test equipment delivered in 2024. We expect DRAM to dominate the Memory mix in 2025, just as it did in 2024. IST revenue of $34 million was up both sequentially and year-over-year, driven by mobile SLT and HDD testers. In product test, Q2 revenue was $85 million, up 7% year-over-year with all business units within product test up year-over-year. As Greg noted, we closed the acquisition of quantify photonics in the quarter as its results are included in this segment. Now to Robotics. Revenue was $75 million, up quarter-over-quarter, but down year-over-year. In the quarter, UR contributed $63 million and MiR contributed $12 million. While the long-term drivers of AI and onshoring and advanced robotics remain intact, near-term macro factors continue to be a headwind. Our second quarter operating results were better than our first quarter, and we expect the second half of the year to be better than the first half. Despite this, due to the weak end market, we had lower volumes yielding a lower gross margin. We expect the weak market to persist and do not expect robotics to break even this year. Some other financial information in Q2. We had one customer that directly or indirectly drove more than 10% of our revenue in the second quarter. The tax rate, excluding discrete items for the quarter, was 13.5% on a GAAP and non-GAAP basis. At a company level, our free cash flow was $132 million, primarily driven by improvements in net working capital in the quarter. We repurchased $117 million of shares in the quarter and paid $19 million in dividends. In the first half, we returned $316 million or 138% of our free cash flow through dividends and buybacks to shareholders. We ended the quarter with $489 million in cash and marketable securities. Now turning to Q3. Q3 sales are expected to be between $710 million and $770 million. Third quarter gross margins are expected to be at 56.5% to 57.5%. Q3 OpEx is expected to run at 36.5% to 38.5% of third quarter sales. The non-GAAP operating profit rate at the midpoint of our third quarter guidance is 19.5%. The Q3 tax rate is expected to be 16.3% on a GAAP and non-GAAP basis. The increase in rate is driven by the impact of the new tax legislation, which goes into effect in Q3. Hence, the year-to-date catch-up is included in Q3. The full year tax rate is expected to be 14.5%. Q3 non-GAAP EPS is expected to be in a range of $0.69 to $0.87 on 158 million diluted shares. GAAP EPS is expected to be in the range of $0.62 to $0.80. In terms of guidance, we will continue to guide 1 quarter at a time. Summing up, we delivered sales and earnings above the midpoint of our guide. We feel more confident in our near-term outlook than we did 90 days ago. Looking ahead, our visibility is improving, driven by demand in artificial intelligence in both SOC and Memory. Second half of the year is shaping up to be stronger than the first half as we expected earlier in the year. Our multiyear investments in testing artificial intelligence are beginning to deliver new opportunities and accelerating top line growth. We are confident in the long-term growth drivers of AI, electrification and verticalization trends that will drive our business in the coming years. With that, I'll turn the call back to the operator to open the line up for questions. Operator?
 Operator: The first question we have comes from C.J. Muse of Cantor Fitzgerald.
Christopher James Muse: I guess first question, your tone on your outlook, clearly much more positive versus 3 months ago. And curious, is that a reflection of a pickup in business that you're seeing today in the second half? And is there any way to sort of frame whether growth continues into Q4? And then perhaps more importantly, is it also related to new design wins that give you confidence beyond 2025?
Gregory Stephen Smith: C.J., it's Greg. Yes, so it is -- the confidence is definitely related to an uptick in demand, primarily in AI compute, both in SOC and in Memory, and we expect that to -- it's the major driver for our Q3 guidance, and it's also the reason for our optimism about the full year. As I said earlier in my remarks, a lot of the programs that were designed into are our -- the ramps are occurring late in the year. And so the split of demand between Q4 and Q1 is a real X factor. We know the demand is there. We just don't know the exact timing of it. And your other question in terms of the -- for the second half of this year, is this related to new wins or existing programs? I would say that many of the things that we're seeing in the second half of '25 are actually wins that have occurred mainly in '24. So in Memory and in SOC, there are customer wins that we achieved either in '24 or early in '25 that are ramping. There are more opportunities in the funnel that we're hoping to close before the end of the year, but we would expect those to have a more positive impact in '26 than in '25.
Christopher James Muse: Very helpful. And then I guess a follow-up to that. As you look to 2026, is there a framework for thinking about AI contributions to you and segmenting between custom silicon, networking, HBM and other?
Gregory Stephen Smith: Looking out into 2026, we haven't done that analysis in terms of how that demand is going to segment. I think the -- in general, we would expect the same kind of a split in the Memory market that we're seeing now with kind of between 85% and 95% of the Memory market being driven by DRAM and most of that being driven by cloud compute AI applications. In the SOC market, looking into 2026, we've had a lot of strength this year, both in VIP compute and also in the networking part of compute, and we would expect that, that's going to continue into 2026. We're hopeful that we're going to be able to add in additional compute revenue from the merchant suppliers, but that is an opportunity, not something that we have in the bank right now.
Operator: The next question we have comes from Timothy Arcuri of UBS.
Timothy Michael Arcuri: So Greg, for the Robotics business, you -- I think you said you talked about a plan of record opportunity, and you're opening up a manufacturing facility in the U.S., which given how bad the business has been, you must feel pretty good about how big that opportunity can be. And they've -- I believe this customer has put some stuff on their website. So can you just help us like size how big that can be and sort of when it starts to impact your business? I think you said it's going to be a significant growth driver for next year. Can you just help us give us any color on that?
Gregory Stephen Smith: Yes. So the from the statement that I made in terms of establishing manufacturing in the U.S., it's -- for us, that opportunity is at first, primarily driven in the U.S., North America more generally. It has the opportunity to spread into other regions as well, but we're able to serve the European region from our Denmark manufacturing quite well. I do want to emphasize that one of the things that is a requirement for many of the larger customer opportunities that we're pursuing, including the one that we won is supply chain resilience that these manufacturers want to see that you have multiple production facilities so that they're going to be able to get their material no matter what. So we believe that having geographic diversity in our operations is kind of a key element of this large customer strategy in general. Now specifically around this one opportunity, the solutions are largely developed, but there's a lot of kind of new product introduction work that has to happen in 2025. And so the demand associated with this opportunity in 2025 is going to be quite -- it's not going to be -- it's not going to have a material effect on our robotics results. When we get into 2026, I can't give you an exact number, but it will represent a sizable fraction of the UR business and UR is the majority of the Robotics business. So it's definitely a needle mover in '26, but I can't give you an exact number.
Timothy Michael Arcuri: Okay. Awesome. And then just on the -- I know you're not that excited about the opportunities in mobile this year, but it does seem that your big mobile customer, they're moving to a new package next year. And what is your assessment sort of on what impact that's going to have on test times? Obviously, you have -- until you have transistor density going up and test times seem like they're going to also go up. So I know you saw the modem test orders this year, but does it make you optimistic about your mobile market and your large customer in particular next year? I know you haven't been that optimistic lately, but I wonder if you can comment on that.
Gregory Stephen Smith: Yes. So we've talked about the drivers for demand in the mobile space that there's unit volume, that there's device complexity and yield, the yield and utilization, sort of the efficiency of the process. On complexity, 2-nanometer gate-all-around is definitely going to enable significant increases in like transistor count kind of complexity. The parts are going to be more complex. The other thing that drives complexity is the packaging methodology and things like the memory bandwidth. So if, for instance, there are wider buses between the processor and memory, that means that you'll consume more tester resources per device than you would if the buses were more narrow. So in addition to the -- just the transistor complexity, if the device needs more tester resources per device, you can test fewer devices at the same time. And that would be another way that it would -- that would come through in our model as an increase in complexity. So going into 2026, we think that there is a potential inflection in transistor complexity. We also believe that there's a potential inflection around memory technologies and packaging. And so that makes us optimistic that mobile will be better next year. The thing is that mobile is going to be a smaller part of our overall mix in 2026 because of the strength of compute. So it's like the -- if mobile gets bigger, it's going to be under -- as a part of a more balanced mix than it was in our past.
Operator: The next question we have comes from Mehdi Hosseini of SIG.
Mehdi Hosseini: Greg, I just want to follow up to the last statement that you made. And I'm looking at the trend. And to me, 2026 could be an inflection point in both mobile catalyzed by 2-nanometer and increased complexities as well as Teradyne's ability in scaling AI and then the robotics, which is a second derivative beneficiary of AI, from AI to IA. And I'm not asking for a guide. We all understand that you have a 2028 EPS target. But if all of these inflection points were to start happening in '26, we could see the mix changing and we could see finally a strategy coming together. Am I thinking about this the right way? And I have a follow-up.
Gregory Stephen Smith: Yes. No, you're thinking -- by the way, I love your optimism. The -- our strategy is to drive growth across all of our businesses between -- in semi test, all of the different parts of semi test, compute, auto industrial, mobile, memory, we believe that we are positioned for growth across the midterm for all of them. Some of them because that end market is growing very, very strongly and others because they are positioned for a cyclical recovery. Our IST business, we believe we're positioned for growth because of the growth in HDD bit growth, the rise of SSDs, the fact that SLT is going to be needed for AI accelerators and the fact that we're gaining share in the mobile space. So we believe that's going to grow. Our product test group is positioned for growth through the midterm across all of the different units inside of the product test group, including the new addition quantify photonics, which we think is positioned for strong growth. And then robotics, robotics, we are pivoting to segments that have higher growth, and we are pivoting the organization to be able to effectively serve large customers and winning those customers. So our plan has a fair amount of resiliency in terms of the sum of the parts is greater than the whole. But there is uncertainty in terms of how fast those things will go.
Mehdi Hosseini: That's fair. And more of a near term, last night, one of your key HDD customer guided to almost a doubling in CapEx. How should we think about the system-level test? And if there is an uptick in HDD test catalyzed by a new technology HAMR, is this going to be an immediate impact? Or is it going to take some time for you to actually see it?
Gregory Stephen Smith: I think it's going to take some time that first of all, in that market, those -- the testers that we build actually have -- there's a relatively long lead time. They are built to order and installation takes a little while. So it's not like we're not going to crank out 100 of these things in a quarter. We do believe that demand is going to be strengthening through 2026. But you also have to remember that there was huge amounts of idle capacity in the HDD market that is being filled more by the increase in test time of drives than volume of drives. So we're actually kind of hopeful about the transition to HAMR and similar technologies from other HDD manufacturers. because those drives take longer to go through the test and configuration process. But I think generally strengthening through 2026, but it won't -- you won't see a doubling like you saw from -- in terms of the capital budget for the player.
Operator: The next question we have comes from Vivek Arya of Bank of America Securities.
Vivek Arya: For the first one, Greg, I was hoping you could help quantify how much -- how large is your AI compute business in Q2. So if your SOC was about $400 million, how big is AI compute? And if you could help break it between compute and networking. And you mentioned new opportunities. I assume you're referring to the potential to be part of the GPU testing side. What needs to happen for you to get more confidence? And if it does happen, is that a '26 or '27 contributor? So just some quantification and then GPU time line, is it '26 or '27?
Gregory Stephen Smith: So why don't we take those in backwards order. I'm going to -- I'll try to answer the GPU-related question, and I'll hand it off to Sanjay around the sort of the Q2 breakdown. So the -- what has to happen for us to gain share in the merchant compute space? Basically, right now, we have to execute and we have to prove that our test capability is equivalent, that we provide the equivalent quality and we provide superior value. And we believe that we are on a track to be able to accomplish that. We -- in terms of timing, I would expect that if we are successful that this will have a modest positive impact in 2026. and it has the potential to build over time. There's a -- when you are working with a customer that is implementing a dual vendor strategy, typically, they will need to continue to buy capacity from their prior sole source for a period of time as they increase the number of devices that are tested on a new platform. So we think that this is -- the good news is this puts us on a level playing field for new devices, and we believe that we have a differentiated product that we're playing with. So we think that we're very optimistic about where things are going to go. But I think it's important to remember that it takes time to shift test strategy at customers of this size.
Sanjay Mehta: And then on the first question, in round numbers, the compute was as part of SOC was roughly about 20% and it was a key driver of growth in Q2 versus expectations. And as Greg noted prior, we're seeing significant traction in the back half of the year where compute, and I'll add memory in there, is going to be the majority of the revenue in semi test.
Vivek Arya: Got it. And for my follow-up, Sanjay, how much did quantify photonics contribute to Q2, if any? And how much are you assuming in Q3? I assume you include this in AI compute. And I know you're not giving a specific number for Q4, but based on everything you are suggesting, is it reasonable to assume that Q4 perhaps grow sequentially and year-on-year to give Teradyne at least some modest top line growth overall for '25?
Sanjay Mehta: Sure. So just quantify photonics, which we closed on May 30, is actually in the product test group. We're not breaking those numbers out, but we've had it for about a month of the results. Regarding the growth in compute, we're not providing a Q4. But generally speaking, yes, we are seeing incremental growth. As Greg noted in his prepared remarks, we're seeing program launches toggle or straddle between Q3 and Q4 as well as Q4 and Q1. But it's our expectation that there will be significant growth Q3 over Q2 and then Q4 over Q3 as well in compute.
Gregory Stephen Smith: And just also, I think what you said in terms of significant growth for Q4 year-over-year I think that's right. I think that definitely this Q4 is going to be stronger than 2024's Q4.
Vivek Arya: Sorry, I meant overall for the company, not just the compute side, like an overall Teradyne sales in Q4?
Gregory Stephen Smith: Yes, that was what I meant as well.
Operator: The next question we have comes from Jim Schneider with Goldman Sachs.
James Edward Schneider: I was wondering if you could maybe first talk about the trends, Greg, you outlined before relative to mobile SOC and when that could recover. In terms of that recovery, do you think that's at earliest likely to happen in a meaningful way in sort of the middle of 2026 as we -- as you sort of prepare for those product ramps? Or could it happen a little bit sooner than that?
Gregory Stephen Smith: Well, the typical mobile pattern is capacity adds in Q2 and Q3. That is not a hard and fast rule, and it has a lot to do with sort of the loading of testers through the year. So if there is sufficient capacity, then we'd see the demand drifting towards the second half of the year versus being in the early half of the year. We'll be able to give you more color about that kind of early in 2026 as we get more firm forecasts about the demand. But right now, I think it's definitely more of a second half thing than a first half thing.
James Edward Schneider: And then as a follow-up, can you maybe just kind of talk about as you continue to ramp the compute SOC business in the back half of this year, is there any impact on the gross margin line, either positive or negative in terms of the mix of that business contribution above and beyond just the absorption piece?
Sanjay Mehta: Yes. So I think overall, as volume scales up, we'll generally get some efficiencies. But I will remind you that, as you recall, it's -- our product margins are really driven by tester configurations. And we operate the business model at the overall portfolio about 59%, 60%. And we do expect that we'll continue to operate in that level.
Operator: The next question we have comes from Samik Chatterjee of JPMorgan.
Samik Chatterjee: Maybe just going back to the opportunity on the GPU front that you're looking to execute on and totally understand you're saying it is more modest in 2026 if you're successful and ramps up over time. In the past, you've quantified the VIP ASIC compute TAM for us, $300 million going to $800 million. How should we think about the size of the test equipment market when it comes to GPUs? I think you've historically excluded that because you didn't have a seat at the table, but how should we think of the magnitude of that opportunity, which can sort of translate over time? And I have a follow-up.
Gregory Stephen Smith: So in terms of the merchant AI accelerator space, so GPUs in general, that's big. I mean it is the majority of the compute TAM. In general terms, we're probably looking at -- in -- back in 2024, there was about $2.3 billion of compute. And so making progress into merchant compute taps us into a pretty big pool. So probably in the neighborhood of 2x the size of the VIP compute out in the later parts of this -- of the term, probably more than 2x the VIP compute. So getting a share of that is going to be a positive impact.
Samik Chatterjee: Got it. And then maybe for the follow-up, for the large customer that you have the plan of record on the robotics business, I know you said this year, robotics, you expect it to not be breakeven, but is that embedding some of the cost related to supporting sort of the product-related expenses for this new program? And does that give you better leverage on the operating line on the robotics segment as you go and sort of get that revenue next year? Just trying to understand when the expenses related to supporting that program are largely expected to hit? Is it this year or next year?
Gregory Stephen Smith: So yes, as I said, the revenue impact is going to be positive in 2026. There are some expenses that we're taking in 2025, mostly associated with establishing manufacturing in the U.S. That is not specifically for one customer, but certainly, we will see benefits from being able to do that manufacturing in the U.S. for that and other opportunities. So the term leverage is good that as our robotics volumes increase, since we are internally manufacturing most of robotics, we will be able to absorb our fixed costs associated with operations as our volumes go up, and we would expect to see that absorption having a positive effect on gross margins. So we'll have to see how that develops, but there's definitely a few of the expenses that are going to come in, in the second half of this year.
Operator: [Operator Instructions] The next question we have comes from Atif Malik of Citi.
Atif Malik: Greg, you talked about HBM memory snapback in second half. In the past, you guys have been of the view that the TAM is more flat this year because of higher productivity of your testers. So what has changed? Are you more optimistic on new HBM qualifications in Korea? Or is it HBM4 that's driving the improved outlook?
Gregory Stephen Smith: So just to be clear, the snapback that -- our view of sort of how the memory market is shaping up for 2025 is not -- has not changed that much. My comment about snapback was really in terms of the timing of quarterly revenue. And so we had a low quarter for memory this quarter at $63 million. We are expecting that the overall TAM for memory is kind of stable and the demand that's coming in for HBM is going to be definitely primarily in Q4 of this year. And there's some uncertainty in terms of the timing of ramps between Q4 of this year and Q1 of next year because especially for HBM4, there are only certain devices that are designed for it. So it's not -- the HBM is not at the point like DDR where there -- it's a commodity and used across a number of -- a lot of different designs. There's a high linkage between particular AI accelerators and particular generations of HBM. So that is the thing that's going to be driving the -- those ramps. So I do think that the majority of capacity demand in 2025 is going to be adding capacity for HBM4.
Atif Malik: Understand. And then in response to an earlier question, you mentioned that complexity is going to be a friend on the mobile side as the packaging moves from integrated fan-out to wafer-level multichip modules. There's also a discussion going on, on substrate less packaging for new AI chips in the next 2 to 3 years. And I was hoping that you can kind of pull the curtain a little bit on your optimism around the merchant GPUs. Is that packaging technology the driver where you feel like you can insert your testers?
Gregory Stephen Smith: No, I think that -- I mean, we're -- in general, changes in packaging strategy generally are driving our customers to invest more in wafer level test of their devices so that they have less fallout further down the line. But the opportunities that we have to compete in new parts of compute have a lot more to do with those customers seeking to have more resilience in their supply chain and more ability to take advantage of the technology that each of the tester companies brings to bear. So it's -- like the opportunity isn't hinging on like a new technology or an introduction of a new device generation. It's definitely more around an operation strategy for these companies.
Operator: The next question we have comes from Krish Sankar of TD Cowen.
Krish Sankar: I had two of them. First one, on the GPU test win. Did you -- having the networking business help with the GPU side? Or was it more of a direct comparison and value proposition versus [ Advantest ]? And also, how to think about potential share gains on the ASIC side as well where [ Advantest ] has been a legacy test supplier?
Gregory Stephen Smith: So first of all, -- it isn't a win yet. So just to make sure that we're staying on the same page, we have an opportunity to compete in parts of the market where we haven't had that opportunity before. It is, in general, having -- serving a customer in another segment allows you to establish reputation and allows you to compete in other parts of that customer's business. And we feel like in customers that do business with Teradyne that, that reputation helps us. We think that, that opens doors and allows us to certainly demonstrate the capabilities of our equipment and our team. So I don't want to go into more detail around any specific customer. Now in terms of share of ASIC, the market is becoming -- for VIP compute, the market is becoming much more complex. When the VIPs or the hyperscalers were in their first generation of parts, they were definitely following the guidance of their design aggregators. They were like whoever their foundry or the design aggregator was saying, you should test your part on this platform, they were pretty much doing that. And as they have ramped, as they have increased the volumes of their parts and increased the expertise of their internal teams, they're taking more and more control over the test strategy and the operation strategy for these devices. And so our -- we are definitely doing our best to increase share at the design aggregators, but most of our energy is going into kind of the 2 ends, the people who actually buy the testers, the foundries and the OSATs, demonstrating that we have a better platform, a platform that will help them make better margins. And then for the specifiers, the hyperscalers, the VIPs that are making these test strategy decisions that they're going to be able to get their parts to market faster and more effectively on our platform than the competitions. So the power started in the middle, and we believe that it's migrating towards the 2 ends.
Krish Sankar: Got it. Very helpful, Greg. And then just a follow-up on the robotics win, is there a way to size it in terms of the number of units you'll be shipping either in 2026 or longer term? And also, are you just providing the arm or even some of the bells and whistles like the grippers, vision, et cetera, for this big robotics win?
Gregory Stephen Smith: So I can't give you exact numbers around units. And over time, as we get further into that program, we may be able to provide more information. But right now, we're just -- we're going to have to wait and see. A lot of things depend on not just us, but also how quickly and effectively the technology can be introduced across sort of thousands of locations for this customer. So I would hesitate to put a number on it. There are some interesting analyses that have been done that I think are using the right methodology, but there are pretty big error bands around it. And to answer your other question, we are providing the arm. In terms of the -- like the deliverable hardware, it's really the arm and the, call it, the robotic software platform. And so other software, other end-of-arm tooling is being added, vision, all of that is being done by the end customer. And so our business is primarily around the arms themselves and the support and service of those arms.
Operator: The next question we have comes from Brian Chin of Stifel.
Brian Edward Chin: A question or 2. Greg, maybe just to kind of frame and contextualize some of this. Taking a step back, how are you sizing the overall compute TAM this year and also a subsegment of that, the VIP SAM, again, inclusive of those AI-related ASICs and GPUs. I think in the past, earlier this year, you referenced sort of a $2.3 billion for the compute market, $400 million for VIP. I know those numbers have probably upticked since then. Can you maybe sort of provide some color? And also, do you expect to perform at sort of a 50% share of that VIP SAM?
Gregory Stephen Smith: Brian, so -- as I said, a lot of the VIP compute is kind of purchased in Q4 and bridges Q4 and Q1. So the VIP TAM is really tough to call for 2025. I think what you said is that there's probably upward pressure. I would agree with that, that there's probably some upside to last year's $400 million. And in terms of like referencing the compute TAM for last year, I believe that there's also significant up this year, especially in the merchant GPU space, it's pretty clear that the TAM is going to come in higher, but we're not providing an estimate for the TAM right now.
Brian Edward Chin: Got it. I guess on one hand, does that provide some sense that networking is a very big component in some of this improvement as well as on the memory side in terms of some recovery or pickup on the HBM4 test and new test insertion activity?
Gregory Stephen Smith: Yes. Networking is an important part of our compute revenue in 2025, certainly. And it has strengthened from where we expected at the beginning of the year.
Brian Edward Chin: Got it. Okay. That's helpful. And then just kind of lastly, for the follow-up. Would you attribute any of the uptick in test utilization rates to any pull forward of supply chain activity?
Gregory Stephen Smith: No. It's -- the pull forward has shown up in some of our customers' results, but those customers were pulling forward demand in an environment where they essentially were able to push up utilization versus adding significant capacity. So it certainly -- I don't think it's had a meaningful effect for us.
Operator: The next question we have comes from Shane Brett of Morgan Stanley.
Shane Brett: I just want to clarify on the GPU customer question from earlier. You said you don't have the win yet, but the tone from the call has been that you're very confident that you will. Could you just level set on whether these wins beyond networking are looking concrete? Or are we still kind of in discussion with that customer?
Gregory Stephen Smith: I don't know that I can put odds on it. I believe that we have strong sponsorship from the customers where we're competing that they want to execute a strategy that gives them more resilience in their supply chain. So when we set our minds to something, we tend to succeed at it. But I don't want to -- I certainly don't want to claim something is one when it isn't one. So I don't know if that's helpful, but we are proceeding on the -- with every intention to be successful in these design-ins. But until you actually have the part in production, you have to be careful about what adverse factors you can't predict. The other thing is that we've definitely seen over time that the amount of sort of how long it takes to go through the qualification process can vary by a lot. And so trying to call the timing of it is also a challenge. But I think we are very happy that we have an opportunity to compete for stuff that we haven't had the opportunity to compete for 20 years. But we are -- I can't guarantee that we have a win.
Shane Brett: That's very helpful. And my follow-up is, so you spoke about VIP driving compute revenue this year. Could you just talk about the kind of customer breadth you're seeing there and just visibility towards further market share gains with those customers?
Gregory Stephen Smith: Well, one of the key trends that we identified was verticalization. And there aren't all that many gigantic hyperscalers in the world. And their importance in this space is kind of directly proportional to their capital spend on data centers. So it also has a great deal to do with the number and the number of chips that they're designing, the different chips that they're designing and the applications that they're going into. The real prizes in this space are the CPUs and the GPUs. The CPUs are the ones that are being developed by the hyperscalers, the VIPs in general, they're ARM-based and they have very high volume because they're pervasive across data centers. The AI accelerators are also very important to win because they have so much complexity, a lot of test intensity to them. So to answer your question directly, our VIP compute is driven by a few customers, not a single customer and certainly, it's like less than 6, more than 1.
Operator: The next question we have comes from Steve Barger of KeyBanc Capital Markets.
Robert Stephen Barger: Greg, you talked about the consolidation of customer-facing functions in robotics. Was that 9% growth primarily a function of that change? Or were those deals already in progress? Just trying to get a sense for how quickly that change can drive sustainable improvement in sales.
Gregory Stephen Smith: So with the magnitude of the restructuring, we were really pleased that robotics was able to deliver quarter-on-quarter growth. That said, we typically see a stronger Q2 than Q1. So the thing that I was trying to communicate was that the restructuring was executed successfully and it didn't significantly -- it didn't have a significant negative impact on our results in Q2. I think that we are going to -- the positive impact of this restructuring in terms of combining sales, combining service -- combining sales, we're going to be giving our partners a broader product line to be able to sell and our sellers a broader product line to be able to represent. So we believe that, that is going to be a top line positive. And by combining service, we're going to be able to offer more consistent and better package service packages for our customers that buy both kinds of robots. I would expect that the positives from this restructuring are going to play out in 2026, not in 2025. That in 2025, we're really focusing on the new product introductions and the large customer wins that we are -- that we have achieved and that we're trying to achieve in the back half of the year. It's -- it was a big change, and we are really pleased that it went as well as it did.
Robert Stephen Barger: Got it. And if this change really does cause robotics to turn the corner in 2026, along with the plan of record that you talked about, can you talk about how you plan to build internal manufacturing capacity to -- will that -- are you going to build to where you see future demand? Or will some of this be fulfilled by EMS companies? And what level of sales do you want to capacitize to?
Gregory Stephen Smith: So we have a significant amount of production capacity. So we -- the reason that we are doing something in North America is around operations resilience and customer intimacy more than trying to really like to meet up to immediate demand. In answer to your question in terms of internal operations versus EMS, our strategy in Europe and the U.S. is primarily around internal. And our strategy in APAC, if we -- as we localize production would probably be to utilize partners there because they're going to be able to localize the supply chains more effectively than we could. So we'll have a blended strategy between internal and outsourced manufacturing for robotics.
Operator: The next question we have comes from Gus Richard of Northland Capital Markets.
Auguste Philip Richard: Just in terms of China, as the domestic Chinese semiconductor industry grows and you have more fabless and IDMs there, how is that impacting your business, particularly as it pertains to industrial and auto?
Gregory Stephen Smith: So right now, the market in China, if you look at the ATE market in China, there is a portion of that market that Teradyne cannot serve because of trade regulations. If you leave that aside, the remaining market is -- the biggest part is Chinese memory manufacturers. And our share in Chinese memory manufacturers is actually kind of higher than our average memory share worldwide. So we compete very, very well there. The rest of the SOC market in China, there's -- just like everywhere else, there's compute, there's mobile and there's auto and industrial. And we are competitive in all 3 of those spaces. Most of the local competition in terms of ATE in China is really focused at -- in the auto and industrial space. So we have significant competition, and we tend to focus on the higher volume, higher quality suppliers in the space because they value the throughput and the accuracy that our equipment has.
Auguste Philip Richard: Got it. Super helpful. And then just in terms of robotics, 1 out of 2 robots in the planet is installed in China. The EV market is shifting to China and production. And I'm just wondering, again, is your SAM shrinking because of that transition to manufacturing in China of autos and a little bit of color on how competitive the Chinese manufacturers of robotics have or have not become?
Gregory Stephen Smith: So there is very -- there are a number of competitors in the cobot space and the AMR space in China. And they have good products. We believe our products are better. They also have great customer intimacy in that market. You're right that over the -- from 2018 to now, the growth rate for the cobot market in China has been kind of twice the growth rate of the cobot market outside. The Chinese automaker -- and so we're very focused on trying to compete in China and to make sure that we maintain and grow our share in that market. But it is highly competitive. The Chinese -- so I would say the Chinese auto manufacturers are definitely offering great products in EV, and they are growing faster than automakers in other parts of the world. But I am not sure if that is sort of an inevitable trend or if we'll see changes in the auto industry in the U.S. and Europe and in terms of localization that sort of confuse that situation going into the next couple of years.
Operator: The final question we have comes from David Duley of Steelhead Securities.
David Duley: I also have a question on the GPU space. After the Analyst Day, it seemed like your opportunities to break into GPU tests were based on a combination tester with silicon photonics and you closed your quantify acquisition. So I guess the first part of my question is, when can we expect a kind of a combo product that can do electrical and optical test? And the second part of the question is, it sounds like you also have another cut-in opportunity with the big GPU guy. And I'm wondering the key reason that why that is competitive-wise? Is it because you have twice the throughput? Or which would obviously make your economics much better than your competitor? Or why is there an earlier cut-in point besides silicon photonics, I guess, is really the question?
Gregory Stephen Smith: Okay. So in answer to your first question, Teradyne is already delivering an electro-optical test solution. Right now and over the next 24 months, that solution is going to incorporate more and more of the quantify photonics instrumentation. And we expect that, that part of the market is going to grow, and we expect that, that having a superior solution in that space will allow us to grow share in the AI accelerator space, both merchant and VIP. Now in terms of why is there an opportunity in GPUs before that, I think it has -- it's mostly to do -- there are 2 things going on. The reason that the opportunity is there is because of customers' desire to have more resilience in their supply chain. That's why we were invited to the dance. Now that we've been invited to the dance, now it is our -- like our level of success is going to be dictated by the differentiation of our product offering. And that is -- we believe that we have advantages in throughput, in reliability and in time to market. But that's exactly what we have to prove and the degree that we prove it will have an influence over how quickly we are able to penetrate those accounts.
David Duley: Okay. Great. And then my second question is, could you just elaborate a bit more? You talked about another HBM win on -- at the stack level. And it sounded like you're talking -- you're describing another insertion point. Could you just kind of like take a step back and help us understand the number of insertion points for HBM currently and how you play in that space just to kind of...
Gregory Stephen Smith: Sure. Thanks for like unleashing my inner professor Greg here. So let me just sort of take a step back. So an HBM memory stack has multiple DRAM die, right now, 8 going to 12 and then a base die. Each one of those memory die and the base die go through a wafer level test. Once that wafer level test happens, then all of the DRAM die are diced up and they are assembled down on top of the wafer of base die, okay? So now you have a wafer that has a bunch of HBM stacks on it. And then after those stacks go through -- so the first test is at the wafer level. The second test is after the HBM die gets stacked on the base die. So we call that post-stack wafer test. And then the current production methodology is you chop up that wafer of stack die, you pack it up and you send it off and then you assemble it into an AI accelerator. What is happening is that after those AI accelerators have been assembled, they're actually seeing significant yield fallout due to HBM problems. And so what they're trying to do is they're trying to decrease the number of defective HBM stacks that get installed in these accelerators. And so the thought is if you do a test step after you cut that HBM stack die wafer into individual HBM stacks, you're going to be able to catch a set of faults that you didn't see before. And so there are suppliers in this space that are experimenting with adding that step to see if it has -- improves quality.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. And I would like to turn the call back to Greg Smith for closing remarks. Please go ahead, sir.
Gregory Stephen Smith: So I just want to add a final thought. AI, as we talked about in our Analyst Day, we believe that AI was going to have a profound and positive impact on Teradyne's business. The investments that we've made in our SOC, memory and IST businesses to align with AI trends are now delivering new opportunities, socket wins and financial returns. We expect that the majority of our semi test revenue in the second half will be driven by AI applications, and it's clear that our momentum is building. I'd like to thank you very much for joining today.
Operator: Thank you, sir. Ladies and gentlemen, that then concludes today's conference. Thank you for joining us. You may now disconnect your lines.